Operator: Hello, and welcome to Exelon's Second Quarter Earnings Call. My name is Dillan, and I'll be your event specialist today. [Operator Instructions] Please note that today's webcast is being recorded. It is now my pleasure to turn today's program over to Jeanne Jones, Senior Vice President of Corporate Finance. The floor is yours.
Jeanne Jones: Thank you, Dillan. Good morning, everyone, and thank you for joining our second quarter 2022 earnings conference call. Leading the call today are Chris Crane, Exelon's President and Chief Executive Officer; and Joe Nigro, Exelon's Chief Financial Officer. They're joined by other members of Exelon's senior management team who will be available to answer your questions following our prepared remarks. We issued our earnings release this morning along with the presentation, all of which can be found in the Investor Relations section of Exelon's website. The earnings release and other matters which we discuss during today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. Actual results could differ from our forward-looking statements based on factors and assumptions discussed in today's material and comments made during this call. Please refer to today's 8-K and Exelon's other SEC filings for discussions of risk factors and other factors that may cause results to differ from management's projections, forecasts and expectations Today’s presentation also includes references to adjusted operating earnings and other non-GAAP measures. Please refer to the information contained in the appendix of our presentation and our earnings release for reconciliations between the non-GAAP measures and the nearest equivalent GAAP measures. We set about 45 minutes for today’s call. I’ll now turn the call over to Chris Crane, Exelon CEO.
Chris Crane: Thanks Jeanne. Good morning, everyone. Thanks for joining us. Before I get into the quarter, I want to spend a minute talking about the Inflation Reduction Act, a bill that's being considered in Congress. We appreciate those who have been working to position the United States as a leader in cleaner energy future and combating climate change. The bill extends tax benefits for familiar renewable technologies like solar and wind. It creates new ones for clean energy sources like nuclear and hydrogen. It also focuses on energy efficiencies, electrification and very importantly equity. These aspects of the bill will enable us transformation for customers while building a domestic clean energy sector. However, the bill also proposes a corporate minimum tax that could undermine the benefits of those incentives and slowly investment needed to make this transformation. The lower cost of clean energy technology and efficiency, their investments will be offset by higher taxes on companies making investments. With this language currently proposed, we and other utilities could face an increase in cash tax. While the bill has yet to pass in specifics could change as currently drafted, we could see an impact of incremental cash tax of approximately $300 million per year starting in 2023. The higher tax would ultimately limit our ability to invest in infrastructure needed to accommodate the clean energy our customers want in our jurisdictions of pursuing, but the situation remains very fluid. We continue to monitor the bill closely as it moves toward a vote in the Senate and beyond. In the meantime, we're working to advocate for language that better aligns incentives to achieve what we all want a cleaner, resilient, reliable and affordable grid, bridge that we are not getting [growth rate] Cleaner grid. Turning now to the quarter. Our first one since separating on April 1, I'm -- February 1. We continue to execute on our plan, focusing on operational and financial excellence to serve our customers in our communities while supporting their environmental and social equity needs. We earned $0.47 per share on a GAAP basis and $0.44 per share on a non- GAAP basis. We continue to expect our full range -- full year results in line with $2.18 to $2.32 range, we provide an on our Analyst Day. We've updated on previously announced plans to financing a small portion of our $29 million capital investment program with equity and Joe will provide additional details on our financing plan. Along with his commentary on the quarterly results. We're on track to limit the number of rate cases we have this year. In May, Delmarva Power & Light Maryland filed his first multiyear plan covering investments from ‘23 to ‘25 period. The filing highlights improvement in Delmarva’s reliability and customer service in Maryland. ‘21 marked its second straight year of record setting outage frequency performance. We look forward to building on the successes of the multiyear plans we have in place and leverage lessons learned to deliver value for Delmarva Power, Maryland customers. In Illinois, ComEd continues to work on a new rate setting process, including proposed performance metrics. We expect a final order by the end of the third quarter. In addition, on July 1st, ComEd filed its first beneficial electrification plan with the Illinois Commerce Commission, as required by the CEGA, ComEd proposes spending approximately $300 million from ’23 to ‘25. The plan is designated to reduce barriers to beneficial electrification, including barriers to electric vehicles like adoption of costs and charging availability. And the plan approaches and emphasizes equity and environmental justice as we implement. Our plan will ensure ComEd’s investment strategy delivers on the CEGA’s groundbreaking environmental and social equity goals. As a reminder, ComEd’s first distribution rate case under the new rate case structure will be filed in early 2023 for rate effective in 2024. And of course we continue to support our communities and provide transparency to stakeholders on environmental, social and governance practices. We recently published our ninth Annual Corporate Sustainability report, our first as a TOD only utility. It details all the ways in which Exelon is a responsible steward of the energy transition and delivers sustainable value for our jurisdictions. For instance, there's many programs going on, but for instance, it discusses our STEM activities, which in our 30 years this summer hosting approximately 180 young women in urban centers. I have been joining each of the three academies to talk with the participants. And in May, the Exelon Foundation selected nine young women that have graduated from our STEM program academies to receive a scholarship for the college education totaling $1 million. It's quite impactful for those young women, and it was quite impactful to be able to speak to them directly and tell them what they have just achieved. So I kind of broke down when they did it, but it was really powerful. The report also highlights $200 million climate change investment initiatives, a program that supports startups with potential to have wide scale impact on climate change risks. In mid-July, Exelon, an Exelon Foundation selected nine startups to receive funding in the third round of the program. It's a 10 year program, these companies’ business models address climate related products and services like EV charging repaired, carbon accounting platforms and other focus areas. We're very proud of the work that all our employees do every day to support the customers in the communities. And you can find all the details in our sustainability report. Switching to slide 5, let me talk about our operational performance for the quarter. We continued to provide safe reliable service for our customers. From a reliability perspective, we've seen improvement from the first quarter. We now are in top quartile for outage duration across all jurisdictions, and ComEd, PHI scored in top decile. ComEd delivered its best CAIDI performance on record despite severe storms in June, we met the restoration targets early restoring 80% of 125,000 impacted customers in less than a day. And ComEd’s distribution automation investments avoided almost 70,000 additional customer interruptions. Our outage frequency performance remains at top high levels, with ComEd achieving top decile. On a safety front, PHI improved the top quartile. But we did have a slip at PECO into the second quartile. We're doing additional training to address the primary drivers of the underperformance at both PECO and BGE. As always, safety remains our number one priority, BGE, ComEd and PECO continue to earn top quartile customer satisfaction performance through the second quarter. And lastly, we'll maintain -- we maintain the top decile performance in odor response across our three gas utilities. PHI continues its streak of perfect execution responding to all gas odors reported less than one hour for the first half of 2022. And this is very important for us to maintain confidence in the system, our gas distribution system that we can find, fix and repair anything that comes up so it's really good to see. Now let me turn it over to Joe and he can provide the financial update.
Joe Nigro : Thank you Chris and good morning, everyone. Today, I will cover our second quarter results, our quarterly financial updates and highlight several ways in which our utilities and power and economic health and wellbeing the diverse communities in which we serve. I'll begin on slide 6 where we show our quarter-over-quarter adjusted operating earnings waterfall. Exelon continuing operations were at $0.44 a share in Q2 this year versus $0.36 a share in Q2 of last year. As a reminder, the prior year second quarter reflects a $0.09 impact for discontinued operations adjustment for certain corporate overhead costs that were previously allocated to our generation segments that are required by accounting rules to be presented as part of Exelon’s continuing operations. As a reminder, these costs were paid for by generation and are not indicative of our corporate overheads post operation. Additional information including the full year impact of the discontinued operations adjustments on 2021 results can be found in the recast 10-K and which we filed on June 30. Excluding the $0.09 impact quarter-over-quarter of the discontinued operations accounting adjustment for service company allocations, Exelon’s second quarter results were a $1.00 lower than the second quarter of 2021. We did benefit from higher distribution rates associated with completed rate cases, including higher Treasury rates impacting Commonwealth Edison's distribution returns. But this was offset by higher depreciation and amortization, bad debt, timing of other costs utilities, and the impact of rising rates on the debt at the holding company. As Chris mentioned, we continue to reaffirm our 2022 EPS guidance range of $2.18 to $2.32 per share. Our year-to-date operating earnings results of $1.08 per share, are exactly in line with the historical percentage of full year earnings, in which we outlined at Analyst Day. Growth for the balance of the year will occur primarily in Q4, as we continue to realize the benefits of higher distribution and transmission revenue, including the net impact of higher Treasury's on ComEd. It will also include the absence of unfavorable weather and storms from a previous year, and the timing of taxes and O&M spend that impacted us in the first two quarters of this year. Any updates to guidance will be provided on our next call for Q3. Moving on to slide 7, looking at our utility returns on a consolidated basis, we expect to be in our consolidated 9% to 10% target by year end. As of the second quarter our trailing 12- month ROE of 8.8% was slightly below our targeted range. As we discussed on our last call, the timing of equity infusion supporting capital investments across all utilities outpaced the higher earnings, driven primarily by distribution and transmission rates. We remain focused on delivering stronger returns at the utilities, which the semi investment we make on behalf of consumers. Turning to slide 8, it was another quiet quarter on the regulatory front, with one notable rate case development. On May 19. Delmarva Power filed its first multiyear plan with the Maryland PSC, the third of its kind in the state proceeded only by its sister utilities of BGE and PEPCO. The filing outlines the company's plans to invest hundreds of millions of dollars in the local energy grid and other customer experience improvement during the three year period from 2023 to 2025. As we've noted before, the multiyear plans approach allows us to align with all stakeholders where the company is focusing its investments. Among the hundreds of projects, the plan specifically includes investments in the electric distribution system to continue to improve reliability and customer service, advanced technologies to modernize the distribution system and provide tools to assist customers in managing their usage. We expect an order by the end of the year. We also have three vacations that are still in progress. Delmarva, Delaware has a gas case with rates going into effect on August 14, subject to refund and an expected decision in the first quarter of ‘23. Additionally, we expected decision on the PECO gas case in the fourth quarter this year, and our ComEd’s final formula rate filings in December. Each case is proceeding in line with our expectations. Overall, we are pleased with the progress in advancing progressive regulatory designs that benefit our customers ease regulatory burden and improve visibility for our utilities. As a reminder, we expect nearly 100% of our rate base growth will be covered by alternative mechanisms by the end of our planning periods. And more details on the rate cases can be found on slide 18 to 21, in the appendix of our earnings presentation. On slide 9, I want to spend moment discussing the work that our utilities do to partner with local state and federal agencies, as well as community groups to ensure we are maximizing opportunities for our customers to benefit from the various build assistance programs available to them. With the challenges presented in the last couple years by the pandemic, and recent inflationary pressures on customers, there have been increases in the funding available to support our most vulnerable customers. For instance, the LIHEAP program it run since 2017 by $400 million to $3.8 billion in total. However, the percentage of households taking advantage of this assistance has remained flat nationwide, implying additional opportunity to support our customers that has gone untapped. Our utilities with their capabilities around billing and customer service, have stepped up to this challenge, looking for innovative ways to support the governmental agencies and ensure more eligible customers are taking advantage of the programs available. And I'd like to touch on just a couple of examples. ComEd introduced the Community Energy Assistance Ambassador program, whereby it offered employment to over 100 local residents to serve as trusted partners to educate customers about financial assistance, as well as energy efficiency. With support from these ambassadors, ComEd was able to expand its reach into hard to engage communities, distribute more than 11,000 Energy Efficiency kits and connect customers to a record $146 million in financial assistance, representing a 95% increase in the number of grants customers received relative to 2020. Of the PHI utilities, ACE Delmarva and PEPCO also took advantage of local outreach strategies, leveraging a data driven approach to ensure they were targeting the highest opportunity areas. Furthermore, they also partnered closely with the relevant governmental agencies to identify and reduce logistical pain points, around applications, eligibility verification and disbursement. These efforts resulted in customers securing $125 million of energy bill assistance, an increase of 70% from 2012. I can say similar approaches were also employed at our PECO, BGE operating companies, and Exelon efforts across all utilities resulted in over $450 million of funding, making its way to more than 650,000 customers, which lowers arrearages and bus bills for all consumers. This level of funding represents a 22% increase in the assistance we were able to connect to our customers relative to the prior year. In fact, these efforts were recognized by EI who selected Exelon as an Edison Awards finalist in 2022, specifically for the innovative ways we helped our customers obtain this assistance. Connecting customers to financial support is just one of the ways in which Exelon is ensuring its customers are making the transition to a cleaner and more resilient grid in an affordable and equitable manner. If I move on to slide 10, during the second quarter, we continue to invest capital for the benefit of our customers and are on track to meet our $6.9 million commitment in ’22. These investments will improve reliability, and resiliency, enhance service for our customers and personally prepare the grid for a clean energy future. Today, I would like to talk about the impressive effort led by BGE to replace a half century old underground underwater circuit nearing the end of its useful life in the heart of Baltimore Harbor. BGE’s Key Crossing Reliability initiative installed a double circuit 230 KV overhead electric transmission lines across the two mile wide Patapsco River. Proactive outreach and early engagement of stakeholders significantly reduced permitting durations and allowed BGE to incorporate feedback into the project's design. That benefit benefiting both BGE and its customers. To reduce durations allowed overhead construction to begin in May of 2020 and complete 15 months early. The transmission monopoles were installed, including two of the tallest towers on the continent, which contemplated adequate clearance for cargo and cruise ships entering the Port of Baltimore today and into the future. Rate reliability improvements stemming from the key crossings initiatives were made possible by the estimated 300 to 350 talented women and men who contributed to this project and all the constituents engaged in this -- 0:24:28.9 .each fader have BGE opted to replace the segment with overhead transmission lines, because the environmental impact was minimal, and it was cost effective and better supported the Port of Baltimore shipping operations, while having the greatest potential for local and domestic job creation. This project perfectly embodies our mission of providing clean, reliable, affordable and innovative solutions to all our key stakeholders. Lastly, I want to provide an update on our balance sheet, which we committed to keeping strong to support the investments made for the benefit of our customers and communities. As we announced in February of 2021, and reaffirmed as recently as last quarter’s call, we plan to issue $1 billion of equity in the holding company by 2025 as part of a balanced funding strategy. We are establishing a $1 billion ATM program. And we plan to issue $500 million of equity in 2022 leveraging either the ATM program or at one time offering or some combination of both methods. We will complete the remaining $500 million in 2023 to 2025. And we commit to continuing to update you as we make progress on these points. Beyond our equities complaints, as we noted in the first quarter, we have completed our long-term debt financings at corporate for the year, there is no change to our expectation and our consolidated corporate metrics will average 13% to 14%. At both S&P and Moody's over the 2022 to ‘24 period. And with a number of financings completed this quarter at our utilities, we continue to benefit from robust demand for that debt backed by extremely strong credit ratings that are operating. As you've heard from Chris, we are monitoring the Inflation Reduction Act, and its potential impact on cash [Inaudible] and tax. We will continue to update you on that as we can. Thank you, and I'll turn back the call to Chris for his closing remarks.
Chris Crane: Thanks Joe. And turning to slide 12, I’ll close by reiterating that Exelon’s value propositions, its position in the sector, Exelon is a premier TOD only company in the nation consistent of delivery and reliability results. There are several key attributes that distinguish us. We have an unmatched size and scale leveraging a common platform across all our utilities, we consistently and reliably offer best-in-class operation performance. This drives a superior customer experience and facilitates a positive regulatory engagement in our jurisdictions. Our purpose of powering a clean, brighter future for our customers and communities is how important ESG principles are to our company. And we maintain a strong balance sheet that drives investment needed to sustain our success. The net results in our operating, our opportunity to invest the $29 billion of capital over the next four years for our customers, with an annualized 6% to 8% operating earnings growth through 2025. And we expect to pay out 60% of those operating earnings each year to our stakeholders and shareholders. Thank you for your time. Now we'll turn it over to Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Shahriar Pourreza from Guggenheim Partners.
Shahriar Pourreza: Hey, good morning, guys. Chris, just on the Inflation Reduction Act, just given your comments, any thoughts on prospects for ultimate passage? I think [senators] stance is still unclear and we may get a vote this week. And Joe if the 15% AMT passes as it stands, would you be sort of able to update to past as it stands? Would you be sort of able to update the financing plan by the EI timeframe and just remind us the multiyear plans? Would they adjust for the tax changes on the fly or would you require separate proceed in most jurisdictions? Thanks.
Chris Crane: Yes, I'll take the first half and let Joe take the second half. We have been working with our Head of Federal Regulatory Affairs, Melissa Levinson, who's in a room here. I’ll ask her if she wants to add anything after I speak. We have done significant amount of outreach, not only as a company, but as an industry to make sure that the message is heard that there is a technical fix that there's a potential or other methods. But I don't think we all know enough. Now, it's very fluid. As you talk to the senators, they're getting up to speed as we're getting up to speed. So it came quick, it came out of the closet. And we have to continue to dive in with the EI and as company to communicate the unintended consequences of where we're at. Melissa, anything else?
A – Unidentified Company Representative : I think it remains very fluid, we know that senators are working to review the bill, and understand the impacts. And expectations are that they're going to try to vote on the bill, but the end things remain fluid.
Chris Crane: Did I misspeak on the technical fix?
A – Unidentified Company Representative : I think as we look at the bill, we continue to talk with the senators about potentially unintended consequences of how the tax might be applied, and its impact on our ability to continue the robust investments that we're making. And so we are talking with them about some of the tax policy that has existed over time that enabled us to cost effectively and affordably invest in and talk about ways to look at the way that the minimum tax is currently structured and see what changes can be made.
Chris Crane: Thanks Melissa. Joe?
Joe Nigro : Yes. And I'll pick up the second two questions, Shahriar. Good morning. The 15% passage as you mentioned, we wouldn't expect to update our financing plans by EI, our normal cadence is that we would do that on the Q4 call after the first of the year. The reason we do that is it gives us time to get through our year end budgeting process. And mark things to that point, whether it's treasuries, pension, et cetera, et cetera. And we would be very transparent at that point. As for your last question, go ahead.
Shahriar Pourreza: No, sorry, Joe, you go, please.
Joe Nigro : Shahriar, as for your last question because of multiyear plans are just for tax changes, I think what we would say it's unclear at this point how these taxes will flow through to our customers, as this, obviously as Melissa and Chris just have talked about this situation is very fluid. As it's currently written, we've reached the threshold for the tax at the consolidated level. And so we're working through all this real time.
Shahriar Pourreza: Got it. And then just lastly, Joe, a little bit of confusion, I guess, this morning around the language around the equity plans for ‘22. I guess what a sort of the puts and takes of doing it via the ATM versus just a pure block, I guess. What are you trying to walk through? Why not just do an ATM? Thanks.
Joe Nigro : Yes, I think there's a couple of answers to that, Shahriar. I think the first thing is if we were having this conversation, the first of the year, we might have even had a different view with that but that’s market conditions change, we have to change with it. I, the way interest rates move, for example. So what we've tried to do is be transparent that we're putting a $1 billion ATM in place between now and ‘25, which is what we told you the equity needs were, we're going to do $500 million of it this year. But I think it's important for us to maintain flexibility. And that's why we're saying that we would do it in probably the one or two ways that I mentioned.
Operator: Our next question comes from the line of Paul Zimbardo from Bank of America.
Paul Zimbardo: Hi, thank you. Good morning. Just following up on the IRA and minimum tax. So is the right way to think about it that you could probably absorb that reduction in cash flows just looking at that 12% trigger versus your guidance range or could we think about that as potentially increasing equity and adds.
Joe Nigro : Yes, we, as I said this is obviously a very fluid situation and we're not ready to commit to either of those. It's all gets tied up. And if this were to pass in its current form this would all get tied up in our end year planning process. What I can say, though is, on the Analyst Day, we committed to use 16% earnings CAGR through 2025. And we're still committed to that.
Paul Zimbardo: Okay, great. Thank you. And then you mentioned the performance base rates, we've been watching in ComEd. Do you embed any kind of benefit and not just in Illinois, but across the footprint from potential positive incentives under the performance base rates at that CAGR midpoint you mentioned?
Joe Nigro : Yes, no, in our plan, we don't embed any incremental benefits from performance.
Chris Crane: But strategically tailwind, we are heading -- we're trying to head in that direction.
Calvin Butler: We are. So as you mentioned, we've been working with stakeholders and filed our performance based metrics outline and goal, which would add if ComEd is able, we were confident to sit back and afford reliable and electricity to the customers, as well as helped the state achieve its goals. The reliability metrics, as outlined could add 60 basis points.
Chris Crane: And we also provided an alternative to the commission if they wanted to consider adding up to 40 basis points, but all based on ComEd rising to the standards that have been outlined in collaboration with the stakeholders.
Operator: Our next question comes from the line of Steven Fleishman from Wolfe Research.
Steven Fleishman: Yes, thanks. Good morning. Hey, Chris, could you just give, I’ll calculator this later, but just if you have handy $300 million of cash flow potentially impacted by the IRA? What is that in terms of FFO to debt percentage?
Chris Crane: Yes, Joe, you want to --
Joe Nigro : Yes, Steve, whatever it is, I don't think we're ready to get into that. Because what the way we look at this is not in isolation. We have to go through year end planning process and see what if, what portion of this we can offset with other actions that we can take across the enterprise. And then net of that what falls to the impact of on our metrics. And obviously, this is so fluid, we haven't gone through that detail process.
Chris Crane: There's cost cutting, there's adjustment and project schedules, there's multiple ways to avoid any impact on our metrics. And that's what we'll be focused on when we figure out where this thing is going. What we've heard is, by the end of the week, potentially over the weekend, things could happen. And once we get the final, we'll be able to evaluate, and we can put the numbers in and start to see what we can do for mitigation. But we want to keep our capital spending plan where it's, our growth where it's at for reliability, and affordability, while we're maintaining a system that will take on the renewable. So there's a few balls in the air that we'll have to juggle, but we would rather have the fix to the bill. So we're not having to juggle this, but we'll see how we prevail as an industry as we go forward.
Steven Fleishman: Okay, and then second question is just in terms of, Joe, your thought process on the equity issuance timing, and doing half of it in kind of the first year, as opposed to just spread out? Could you maybe just give some flavor? Why kind of you decided that?
Joe Nigro : Yes, I think, Steve, a couple of reasons. This is the first window we have open post separation. We had to file the updated 10-K at the end of June, which we did, and then we went into blackout. So, as we previously disclosed, we executed some short-term debt, at the time of separation that we're now planning to use the equity to pay down and that's all part of the balanced funding strategies, to continue to support the balance sheet. We went through an evaluation of the type of equity issue and as I said earlier, it’s still very fluid due to changing market conditions and we want to maintain as much flexibility as we can and that's why we're saying we're putting an ATM in place. But we do have the flexibility to do this one time only.
Operator: Our next question comes from the line of David Arcaro from Morgan Stanley.
David Arcaro: Hi, thanks so much for taking my question. Could you maybe just speak to as you look out over the EPS growth forecast period, your current thoughts on maintaining that linearity of annual kind of cadence and achieving the growth each year through the forecast?
Joe Nigro : Yes. Thanks David for the question. And good morning, we talked about this, we're confident in that 16% growth rate that we've given you through 2025 as relates to earnings. We've said there is some variability between the years and this really driven by three factors, right. One is, ComEd’s, the distribution return through 2023 is still tied to treasuries, which obviously, we don't control that mark-to-market exercise. And that's priced on a daily average throughout the year. So it's continuing to obviously change. PECO is on a three year rate case cadence. And the way that cadence works is they're higher earnings in the early years than they are later years. And that has some variability. And then lastly, we're transitioning to different ratemaking in Illinois, 2024 and beyond. And we have to make an assumption, what that looks like. And we've done that, and we're comfortable with ranges around that, and that 16% growth rate, but that drives some variability as well.
David Arcaro: Okay, got it. Thanks. That's helpful. And on the just the, are we, so ticked down slightly in this quarter, could you just refresh us on the confidence level of net rising in the back half of this year? And then any latest thoughts as to when you might be able to achieve something in the middle, like 9.5% ROE level as you look out in the forecast?
Joe Nigro : Yes, I think the reason you see the lower ROEs early in the year, and you saw the same trend last year is, it's tied to the equity, we're infusing into utilities, we do, a majority share of our debt offerings early in the year across the enterprise. And as such, to keep those capital structures in line, we infuse the equity, which over the course of the year takes time for ROEs to catch up. And that's really the big driver. So we're confident, we target 9% to 10%, for all of our utilities, we're confident at year end will be in that range, on average across the utilities.
Chris Crane: The key on this is the rate cases, as Joe said, and we've seen downward pressure in other jurisdictions on that 9.5% to 10%. So we have to work through that and explain with the higher interest rate environment. We need to be able to move that back up as we're working through our rate cases. So it's reversing the trend of what we've seen in the industry to accommodate the interest rate rise and it's very quick to come down when interest rates come down. It's a crawl back when interest rates go back up. But that's what we're focusing on.
Calvin Butler: Chris, if I can add, this is Calvin, David, I would also point out, Joe alluded to ComEd earnings being tied to the Treasury. But understand ComEd is also one of the lowest in earnings of any utility that impacts that 9% to 10%, average. So as ComEd begins to transition out of the formula rate, you will see that have a greater impact on the collective of utilities. And it's also important to note, when we talk about the multiyear plans, those three year plans that we've been put in place in Maryland, as well as in the District of Columbia. That's a process that is done in collaboration with the stakeholders and commission. So when we talk about investments across the utilities, that transparency is giving stability to those ROEs and also the growth projection that Joe talks about that 6% to 8% a year. That's how we feel confident that we can come in here and tell you what that growth plan looks like because it is done in collaboration with our commissioners and all of our stakeholders.
Operator: Our last question comes from the line of Durgesh Chopra from Evercore.
Durgesh Chopra: Hey, guys, thank you. I'll keep it quick. Joe, I just want to go back to the $300 million per year cash impact from the alternative minimum tax, just given that your cash effective tax rate is going up each year. So I'm looking at this slide, which shows 2022, this is slide 16, in the appendix, I believe, which shows the effective gas tax rate going from like less than a 0.5% to 4% in 2023. As I'm thinking about ’24. ‘25, shouldn't that $300 million cash tax impact be actually lower given that you're going to pay some cash taxes, just by the effective tax rate going up naturally in the plan?
Joe Nigro : I think there's a lot of variables that go into that equation, or maybe we, given the size of our enterprise, and the number of operating companies we have, obviously, there's a lot of things that move around in a given year with taxes. I mean, we see that each and every year, and then quite frankly, each and every quarter. So this is very fluid, the situation we're dealing with as blow smoking. Chris alluded to here, there's still -- we still go to get to the goal line on this and see where it plays itself out. I'm not going to sit here and commit you to say it's going to do this or do that. We're giving you an indicative view what we think that impact looks like over, our planning horizon that we've disclosed.
Operator: Thank you. That concludes our Q&A session. At this time, I'd like to turn the call back over to Chris Crane, President and CEO for closing remarks.
Chris Crane: Yes, thank you all for joining the call today. We look forward to continue to execute on a plan. And with that I'll close up the call and thank you for your continued support.
Operator: Thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.